Operator: Greeting and welcome to the Joby Aviation's First Quarter 2023 Conference Call and Webcast. At this time, all participants are in listen-only mode. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Teresa Thuruthiyil. Thank you. You may begin.
Teresa Thuruthiyil: Thank you. Welcome to Joby Aviation's first quarter 2023 financial results conference call and webcast. I'm Teresa Thuruthiyil, Joby’s Head of Investor Relations. On the call today, we have JoeBen Bevirt, Founder and Chief Executive Officer; Paul Sciarra, Executive Chairman; Didier Papadopoulos, Head of Aircraft OEM; and Matt Field, Chief Financial Officer. After management's prepared remarks, we will open up the call for questions.  Please note that our discussion today will include statements regarding future events and financial performance, as well as statements of belief, expectation and intent. These forward-looking statements are based on management's current expectations and involve risks and uncertainties that could cause actual results to differ materially from those expressed or implied. For a more detailed discussion of these risks and uncertainties, please refer to our filings with the SEC and the Safe Harbor disclaimer contained in today's Shareholder Letter. The forward-looking statements included in this call are made only as of the date of this call, and the company does not assume any obligation to update or revise them.  Also, during the call, we'll refer both to GAAP and non-GAAP financial measures. A reconciliation of non-GAAP to GAAP measures is included in our Q1 2023 Shareholder Letter, which you can find on our Investor Relations website along with the replay of this call. With all of that said, I'll now turn the call over to JoeBen.
JoeBen Bevirt: Thank you, Teresa, and thank you everyone for joining us today. I'm pleased to report that we had a very successful quarter and we remain on track to deliver on the goals we highlighted in our last call. Before we get into the details and our recent news announcements, I wanted to give you a sense of the remarkable energy there is at Joby right now. For example, at our site in Marina, California, on one side of the airport, the team at our pilot production line is knocking it out of the park as we prepare our first company conforming aircraft to be rolled out as planned in the first half of this year. While on the other side of the airport, we have members of the United States Marine Corps, working with our flight test team today, assessing how our aircraft might be used for logistics and personnel movement. This is on top of the incredible work being done by our manufacturing team, also at Marina, who are delivering parts for the next aircraft on our production line.  In other words, we've started 2023 as we promised we would with energy, with pace, and most importantly, with delivery. And that delivery is really at the heart of one of the most exciting announcements of this quarter, our extended partnership with the Department of Defense. Our relationship with the DoD stems back to 2016 and at several points along the way, we've had the opportunity to extend our relationship based on our track record of delivering. We began as a $970,000 project award from the defense innovation unit in 2017, have over the course of six years turned into a range of contracts and extension across multiple government agencies worth more than $150 million in total, including, of course, our most recent announcement, which added an additional $55 million to a contract with Agility Prime that is now worth up to $131 million in total.  The DoD is early interest in Joby and our ability to deliver on their goals has played a key role in advancing electric flights. With access to government testing facilities, we were able to conduct more than 1,000 test flights across multiple subscales and full scale prototypes. In many ways, that was an incubation phase in which the DoD supported us as we rapidly validated our design and tested our aircraft. And in return, they got a front row seat to the development of our technology. But now, today, we're moving beyond research and development into delivery and execution. That's why the Marines are here this week with us studying how to use the aircraft. And it's why we had the Air Force pilots here a few weeks ago becoming the first non-Joby pilots ever to fly an eVTOL aircraft remotely as sole pilot in command through a full flight profile, including the transition from vertical to wing board flight. This is about real aircraft in real life environment. As part of the contract extension, we'll be delivering and operating up to nine aircraft, the first two of which are set to be stationed at Edwards Air Force Base in California by early 2024. Those aircraft will not only be the first of our aircraft to go into service, they'll be expected also to be the first eVTOL aircraft to be operated for our customer anywhere in the world. They'll be the first eVTOL aircraft to be stationed at a U.S. Military base, and we believe they will become the first eVTOL aircraft to generate revenue in the U.S. and perhaps the world.  With these and subsequent aircraft, we aim to provide the Air Force and other federal agencies with firsthand experience of our technology and its potential applications, opening the door to it being used in a wide range of missions. And while the aircraft will be performing DoD operations, those operations will also provide the opportunity for us to generate invaluable learning for our future commercial service. Just as the Department of Defense has been leaning in, so to have the U.S. government policymakers. In March, the White House issued its National Aeronautics Science and Technologies Priority document, which outlines activities it recommends to "Maintain the nation's edge in the global aeronautics industry." That's a vision we can absolutely get behind and it was humbling to see that of the three priorities identified by the White House in this document, two of that relate directly to the work we're doing, achieving sustainable aviation through our 2050 net zero commitment and the integration of modern and emerging technologies, including advanced air mobility aircraft into the National Airspace System. Congress has also been playing its part in pushing positive messaging around AAM including during a recent session of the House Transportation and Infrastructure Subcommittee on Aviation, at which I was honored to testify. The hearing happened at a pivotal moment with a committee focused on the FAA Reauthorization Bill, which will play a key role in the future of the FAA and how it integrates AAM. The session was focused on ensuring U.S. leadership in AAM and throughout the hearings, we heard many examples of bipartisan collaboration, especially from House Aviation Subcommittee Chairman, Garret Graves, and ranking member Rick Larsen. I also had the opportunity to thank the committee for ensuring the passage of the Advanced Aviation Infrastructure Modernization Act, which authorizes planning grants to facilitate investment in AAM infrastructure.  In addition to the progress we are seeing on the policy front, we were honored to host Secretary of Transportation Pete Buttigieg at our offices in Washington D.C. last month. As well as speaking with our Board members, the Secretary had the opportunity to fly with Joby's simulator and experience what it might be like to fly with us. The positivity we're seeing in Washington isn't unique though. Over the last quarter, I've experienced firsthand the wave of belief in our technology that is building at the city and state level across the U.S. and in cities worldwide. That belief is driving a lot of exciting conversations around infrastructure. And during the quarter, I was able to visit New York, where we're working hand in hand with Delta to identify exactly where and how we will deliver our service.  I would like to think that belief also played a role in Michael Huerta's decision to join the Joby Board. As a current Delta Board member and a former FAA administrator, he brings a wealth of experience and insight to the table and we're honored to have him on our team. That belief was further underscored by the announcement we made earlier today that Baillie Gifford who first invested in Joby more than three years ago has agreed to lead an additional equity investment of approximately $180 million. Baillie is known for their track record of investing early in high impact technology companies and has a reputation of being a patient long-term investor with a vision for sustainable transportation that matches ours.  The additional funds will allow us to steepen the curve on early production, enabling us to capitalize on opportunities like the DoD contract extension, without impacting the runway we already have available to see us through the certification process. It is a great vote of confidence in what our team is delivering day in and day out. And we're excited to maintain that momentum and build on that belief, as we look ahead to starting commercial operations in 2025.  I'll now hand it over to Didier to talk in more detail about the progress we've made and what comes next. Didier?
Didier Papadopoulos: Thanks, JoeBen. As you mentioned at the top of the call, the progress we've made with our company conforming aircraft has been a real highlight this quarter. If you take a look at the photos in our Shareholder Letter, you will see that we now have the three main aerostructures: the fuselage, tails and wings painted and assembled. The vast majority of the flight electronics have also been installed in the aircraft. The landing gear is ready to be installed and we have completed all the components for our six electronic propulsion units and a full set of battery modules built and investing. All the while, we're making great progress in our integrated test lab where we're now completing full system verification testing on our software, electronic and powertrain systems and flight testing. In other words, we're right on track.  At this point, I'd like to say a big thank you to the Joby team, and also to the Toyota team for helping us maintain this awesome momentum. We're working as one synchronized team and I'm really pleased with the speed at which we're making progress together. While our strategic relationship with Toyota has been in place for many years, it continues to grow organically. In April, we signed a long term supply agreement with them that covers key powertrain and actuator components for our aircraft. These components designed by Joby leverage Toyota's deep manufacturing knowledge and expertise in delivering reliable, high quality vehicles at high volume. It also means that we're now integrating Toyota manufactured parts into an aircraft that's assembled in a pilot production line that they'll help us design. We're incredibly grateful for their support and look forward to celebrating the rollout of this aircraft together. Part of our success in developing the Joby aircraft has been about making the right decision between making a part and buying a part. In some instances, like the flight deck we use from Garmin, it's clear that our items on the market that can fit our needs. So very often, buying generic components, which are designed to fit many different aircraft means accepting critical tradeoffs and capabilities, or mass or maybe both. That's why we've invested our time and effort in developing a range of critical parts, either with partners like Toyota or in-house. And we continue to see that strategy paying off. A great example is our flight electronics. By designing, building and testing our flight electronics and our wiring systems in-house, we have been able to reduce mass while increasing redundancy and integrating multiple functions into fewer devices. This has helped improve the performance of our aircraft, while reducing the assembly time and maintenance profile of our systems with fewer parts to install. Our network switch, for example, is now smaller than a standard sheet of paper, even though it integrates additional functionality that would typically require an entirely separate device. This in-house network switch design and system architecture has allowed us to benefits from kilograms of mass savings compared to alternative options.  It is the same story with our flight computer. The flight computer receives pilot inputs and sensor data from around the aircraft, translating it into instructions for the propulsion units and control surfaces. We've been able to integrate all this functionality into a robust device that weighs less than an iPhone. By developing systems ourselves, we also benefit from having a common software architecture, with all of our hardware sharing common interfaces, meaning there are no layers of conversion or translation requires in each connection. We will also be able to verify and deploy software updates more easily over the life of the fleet. Thanks to owning the majority of the tech stack. These are just a couple of examples of incredible work the Joby team has done to optimize our aircraft. And we expect these efforts to pay dividends as we enter higher rate manufacturing and commercial service. Turning now to our progress on certification, I'm pleased to say that we've made great progress across the quarter. On our last call, we highlighted that we had effectively completed the second of five stages required to achieve prior certification. I'm pleased to report that we have now completed the vast majority of the work required on the Joby side of Stage 3, having submitted affirmative three Area Specific Certification Plans to the FAA during this quarter, taking our total from 8 to 11 with only two largely completed plans remaining to be submitted. These documents describe the steps we need to perform to certify our aircraft. And with 11 of 13 submitted, we are on track to complete our stated goal of having all the ASCPs for the agreed to meet the compliance submitted within the first half of this year. We have also added further to ASCPs accepted by the FAA bringing the total accepted to 7 and moving the percentage progress on the FAA side of Stage 3 forward significantly from 53% to 63%, marking an important step towards completing the third stage.  The majority of our team is now heads down focused on Stage 4, where we design, develop and dry run the testing we described in Stage 3, ahead of entering into formal forecasting with the FAA. This preparation work is absolutely critical to achieving a smooth certification process. And while it means we may not see the bars on our certification chart move as dramatically as they have recently, our team will be working as hard as ever. As one example of the progress we're making in stage 4, in areas like our flight computer, we're already at the point where we're simulating FAA inspection visits with a team member playing the role of an FAA inspector. We may not necessarily give ourselves full credit for that on our certification tracker. But it's incredibly important work that will ensure we are able to move forward as fast as possible when we're ready to begin for credit testing. Stage 4 has by far the highest number of elements to it of any stage, but it's much more black and white than the earlier stages. To put it in a different way, we've moved from talking about how we would do something to actually executing on it. And while we're on the topic of the FAA, I'd like to reiterate my thanks for their hard work. They also do a huge amount of work in the background to support applications like ours, spending hundreds, if not thousands of hours, reviewing the documents and plans we create. And we're grateful as ever for their commitment to making sure the right environment exists for advanced air mobility companies like ours to thrive. Turning to the operations front, I am pleased to report on behalf of our operations and safety team that we also successfully completed an IS-BAO audit during the quarter. The audit performed by the International Business Aviation Council is part of the voluntary standards program that includes hundreds of audit reports, and it confirmed that we're able to operate at the same high level of safety required for business aviation operations. This is an important step towards developing our operational muscle. And I'd like to say a big congratulations to our teams who were involved in this process. I'd also like to thank the FAA and Acting Administrator, Nolen, for their proactive approach to integrating new types of aircraft into the National Airspace, both in the near-term and at scale as evidenced by today's announcement.  I'll now pass it over to Matt to provide an update on our financials.
Matt Field : Thanks Didier. As of the end of the first quarter, we have $978 million in cash and short-term marketable securities, providing a solid foundation for our operations. This strong balance sheet will be further strengthened by the investment we announced today led by Baillie Gifford totaling approximately $180 million, which we expect to close within the coming days. Before jumping into this quarter's financial results, I'd just like to quickly touch on this investment. As we've said in prior calls, we're very comfortable with the robustness of our balance sheet, and we are not looking to raise capital at this time. However, when Baillie Gifford an existing long term investor in Joby since 2020 reached out looking to increase their investment on behalf of their clients, we agreed that further strengthening our balance sheet was the right thing to do with an investor that is so closely aligned with our mission, ensures our long-term perspective. Turning now to our financial results for the first quarter of 2023. We incurred a net loss of $113 million, reflecting a loss from operations of nearly $100 million and negative other income of about $14 million. Other income from the quarter primarily reflected the $22 million unfavorable revaluation from our derivative liabilities, as the price of our shares and warrants rose during the quarter, partly offset by net interest income of $8 million.  Adjusted EBITDA was a loss of $75 million. This was about $6 million higher than the first quarter of 2022 reflecting increased staffing and cost to support certification, partly offset by increased payments from government contract deliverables. Our adjusted EBITDA loss was $2 million less than the fourth quarter, reflecting primarily increased contract deliverables completed in the first quarter. Our global staffing at about 1,460 employees continues to grow to support our Company's certification and manufacturing efforts. Cash used in operating activities and purchases of property and equipment totaled $87 million in the first quarter of 2023. And we remain on track with our full year target of between 360 million to 380 million. This concludes our prepared remarks. Operator, would you please instruct participants on how to ask questions?
Operator: Thank you. Ladies and gentlemen, at this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Kristine Liwag with Morgan Stanley.
Kristine Liwag : So Matt, you highlighted you've got $978 million of cash and short-term investments on the balance sheet. When I look at the stock price today, it's still closer to historical lows versus historical highs. So why raise capital now and why not wait until more certification milestones are achieved? And potentially, your stock could be at a higher place when you don't need liquidity today?
Paul Sciarra: Hi, Kristine. This is Paul Sciarra, happy to answer your question. As both JB and I think Matt stated in the sort of opening comments, we did it even prior to this investment, felt really good about our cash position and our ability to continue to forward investigate ourselves to and through certification. However, today's announcement is importantly related to the announcement that we made last week about the next phases of our work with the Department of Defense. The folks at Baillie Gifford who we've already said sort of we've known for quite a while and were investors in the company, both as a private company and go public transaction, came to us a few weeks ago and told they wanted to build our position. They could do that either through open market investments, or directly onto our balance sheet through the shelf that we had outstanding. In light of what we think is a growing opportunity to deliver aircraft and potentially generate revenue with the DoD, we felt it's prudent to add to our already strong balance sheet through this investment. This gives us an opportunity to scale pilot production sooner, build more aircraft, deliver those to this first set of customers. And we thought that and to do that without necessarily sacrificing the revenue that we need to get to and through certification. So we felt like it was the right call to make with an investor that knows us and has a track record of investing for the long-term.
Kristine Liwag : Thanks, Paul. And it's really encouraging to see that there is progress with your relationship with the Department of Defense and seeing the Air Force program bear fruit for you is really encouraging. But historically, when you look at other defense programs, generally the DoD would give funding to companies and help with working capital requirements. Is that an option through this contract? Or would you have to fund all that growth for the Department of Defense using internal or cash?
Paul Sciarra: This is Paul again, Kristine. So through earlier iterations of this contract, we've had an opportunity to offset significant amounts of R&D already. I think what this phase of the contract is about is about shifting gears from research and development and observation, to actually putting these aircraft directly into the service with customer. And that's an important shift for both us as a company, and we think for the industry as a whole. It may be the first set of aircraft that are delivered to a customer, certainly here in the U.S., and the first set of aircraft that can potentially generate revenue over the long-term.  Now, one of the things that distinguishes the way that we've approached our defense contracts than maybe others, is that as you may know, there's a real push inside of the DoD to shift to dual use technology, technology that's developed for the consumer sector but has application in the Defense Department. Our work with the DoD is firmly under that lens. So we have an opportunity to commercialize earlier through this alternative means, but the relationship looks different. When we think about this contract, it's about -- there's really three pieces. One is an activation fee on delivery of aircraft. The second is an annual we see. And the third is a cost per flight hour. So that's the way that we've structured our relationships. And we think it's a win-win, both for us as a company and for our customers with the Department of Defense.
Operator: Our next question comes from the line of Andres Sheppard with Cantor Fitzgerald.
Andres Sheppard: I wanted to just maybe to start a follow-up with Kristine's first question. I agree the timing of the equity offering seems a bit peculiar since we're getting closer and closer to certification and commercialization. And those could be meaningful catalysts that would bring the stock price up, and therefore it could be perhaps -- it could have been a better opportunity. I'm just wondering, is -- I'm trying to ask this question maybe a little bit differently, is there a thought process that perhaps the certification or the commercialization might be more expensive or perhaps lengthier than initially anticipated; and hence, the equity offering? I'm just again, just trying to better understand the timing here. Thanks.
Paul Sciarra: Hi, Andres, this is Paul again. As I mentioned in the answer to the last question, we really think about this equity raise as an opportunistic one in light of what we think is a growing opportunity with the DoD. We wanted to make sure that we added to our already strong balance sheet, so that we would have the ability to steep in early production ramp, build more aircraft sooner, and deliver those to first customers sooner, without sacrificing the revenue -- the runway that we need to get to and through sort of broader commercialization. I think our approach -- and this is true for the company going way back. We can't predict kind of market dynamics. We can't predict timing for that. But we want to make sure that we do is we make the right prudent decisions for the opportunity set that presents itself. This isn't about the short-term. This is about maximizing our ability to execute over the long-term.
Andres Sheppard: Thanks, Paul. And maybe, as a follow-up, wanted to get a sense of -- in regards to the contract with the DoD that was extended, when might you have a sense of how to, I guess, quantify that in terms of what it'll mean, in terms of revenue? I realized there's different use cases for it and it's an ongoing relationship. Any sense of when you might be able to have a better idea of what it'll translate to in terms of revenue, particularly since you're looking to monetize this relationship prior to certification? Thank you.
Matt Field: Hey, Andres. Thanks for joining this afternoon. This is Matt. So when we look at the DoD contract, we extended it to $55 million extension over roughly three years. We expect as we said on the call, the first two aircraft to go into service in early 2024. We're still going through the contract with the accounts. And so we're determining exactly how much of that would flow into revenue versus a contra R&D, which is where you see it today. And as we get closer to that time, we should be able to provide more explicit guidance and then certainly, as it comes together, how that materializes. As Paul mentioned, there's an upfront piece, a fixed piece and a variable piece. And so as that comes together for 2024, we will probably put a guidance about that.
Operator: Our next question comes from the line of Bill Peterson with JPMorgan.
Bill Peterson: Pardon me, it's a little bit loud here at the airport. I always seem to be in an airport when I have these calls with you guys. I just wanted to come back to the question about the capital raise now. I think you said you're on target so for 360 million to 380 million this year. You're close to 1 billion on your balance sheet prior to this capital raise? Are you trying to signal that there's a big step up in spend next year? And you've kind of alluded to, I guess, maybe accelerated some programs. Can you give us some sort of idea how we should think about use of cash as we think about 2024?
Matt Field: So there's really a couple of pieces behind this investment, Paul quoted well. This investment gives us more options than we would have had otherwise with the capital stack that we have in place. And so we felt it was the right time to take the investment from a high quality investor with a very straightforward structure, right? It's a very simple capital fundraise with a long-term investor. So it really gives us greater degrees of freedom than we may have had otherwise. So there's really nothing we're seeing going through '24 around the capital raise.  And as you think about '24, we said this -- I think we said this on the last call. You look at tailwinds like to DoD contracts and some of the engagements there and additional headwinds from as we grow our business, build more planes and start moving into more volume manufacturing, but also early, early stage commercialization. We're singularly focused on certifications, manufacturing, and DoD, and now continuing towards '24 as well.
Bill Peterson: I read that as directional increase in the use of cash. But my second question related to Toyota, I know its press release last week and some of the commentators that they are evolving powertrain actuators, they help you design the pilot facility. How should we think about their involvement looking ahead? And I guess specifically, are there additional areas you'd be looking to leverage their manufacturing expertise? Or maybe even potentially capital?
Didier Papadopoulos: This is Didier. Really excited about the Toyota our partnership for sure. As you mentioned, Toyota partnership started a while back initially on the partnership and investment front in throughout the past what really been a great engagement on the manufacturing front across all of our manufacturing organizations, not just on the powertrain and actuation, but also on the airframe side, all of our sites here. It’s really helped us optimize how we're manufacturing this aircraft. And we're seeing here with the first conforming aircraft soon to be rolling out of the line. They also have been helping us through our design. So this is just to reiterate it's a Joby design, soup to nuts, if I may say, but really helping us understand design for manufacturability. And as we were doing that with them, we saw an opportunity for Toyota to also participate in supplying some of the critical components for these two products. Obviously, Toyota is very knowledgeable in producing high quality products at high manufacturing rates. And we hope to continue to get their support as we talk about how we scale into the future with our production ramp up.
Operator: [Operator Instructions] Our next question comes from the line of Edison Yu with Deutsche Bank.
Edison Yu: Hate to come back to the capital raise, but wanted to maybe phrase it even in a different way. Should we interpret sort of the 180 million as something incrementally more than you need to kind of win -- or not win but to follow through on the DoD contract? Or how should we think about those comments in terms of having to spend more because in a context it’s having almost 1 billion, I would have thought you would have been spending a pretty decent amount anyway. So is there any way to reconcile those numbers or are they just not -- it's just not the right way to think about it?
Paul Sciarra: Hi, Edison. This is Paul, happy to try to take a stab at this one. When we think about the opportunity that we think is in front of us with the Department of Defense, so we have to ramp production, build aircraft, and then we have opportunities to generate revenue from those aircrafts. So as we think about kind of steepening that earlier production curve, building more aircraft than we might otherwise, delivering those to the new customer. When it comes to the sort of cash flow, we felt like it made sense to ensure that we had a little bit more buffer, so that we had an opportunity to really capitalize on what we think is a big opportunity there. This gives us the flexibility to do some of that forward investment sooner than we might otherwise. So that we can seize the opportunity that we think is in front of us in terms of both this version of the contract that we announced this week and subsequent extensions, either with the Air Force or other branches over time. Does that help?
Edison Yu: Yes, thanks for the color. That on the Toyota agreement, I'm curious, was this something that you had sort of decided already a while back because you've been working with Toyota for so long? And you're just sort of announcing it? Or have you been looking at various other suppliers considering doing house and you sort of arrived at this decision? I'm just curious sort of the process in which this agreement kind of emerged?
JoeBen Bevirt: So maybe stepping back here. I think what's important thing is we've continued to be consistent in our strategy on focusing our effort on sourcing the parts that exist out there, whenever they meet our needs to allow us to focus in areas where true vertical integration benefits us and ensuring that we have the best product out there. Our strategy with Toyota really developed organically as they continue to grow their engagement across all of our development, all of our manufacturing and all of our design. And that was a really unnatural fit throughout the design review that we're doing with them. We continue to look at opportunities to leverage that strategy. And wherever we find the best partner and supplier, we will definitely do that.
Operator: Next question comes from the line of Matt Roberts with Raymond James.
Matt Roberts : Maybe transitioning over to the aircraft itself. You discussed that with the company conforming aircraft, a lot of the major aerostructures have already been assembled. So maybe could you just provide a little color on how these differ from the current S4 aircraft that you’re flight testing there in terms of specification, dimensions or weight? And then for those -- the initial aircraft deliveries to the DoD in 2024, is that the current iteration or would that be more candidate type conforming aircraft?
JoeBen Bevirt: So I think it's important to think about this aircraft as an evolution of the one that's currently flying, in that we learned a lot of lessons throughout the multitude of flights and we continue to be flying on a regular basis with the existing aircraft. And across the pyramid of the aircraft and when I want to talk about pyramid, I'm thinking about components, subsystems systems, and all the way up to the aircraft. We've had a lot of lessons learned with the existing aircraft, primarily all of those fall into or the majority of these fall into the categories of optimization. So as you saw, for example, in one of the videos that we launched recently. We learned that we can develop equally performing Ethernet switch, that's half the size of the weight, and architect the system to where we can increase benefits from that to increase the performance of the various systems within the aircraft. Overall, from a aero standpoint, from an aerodynamic standpoint, not a lot of changes on that front. So we feel that we've proven the performance of the aircraft. And that's been solid and committed to from the very beginning, the real changes will be evolutionary, from within the inside of the aircraft.
Paul Sciarra: This is Paul. I wanted to make sure that I got your second question, which I think was about whether or not these are the same aircraft that we're going to be producing for DoD? And the answer is, yes. One of the things that's really important to understand is that DoD has a process called military airworthiness, which is related to, but importantly, different from FAA type certification. You can think about it as a sort of subset for which FAA type certification is a superset. So the work that we're doing to progress increasingly certifiable components, just increasingly certifiable aircraft, we can use the aircraft that we are building now and essentially delivering to DoD to really continue to improve and get closer and closer to what we need to for both type certification and production certification on the FAA side. Does that make sense?
Matt Roberts : Yes, certainly. Appreciate the added color there.
Operator: Our next question comes from the line of David Zazula with Barclays.
David Zazula: Thanks for taking the time. I apologize for the background, I'm also in an airport like, Bill, although I can report that I'm in a Delta lounge. So helping out the team at least a little bit there. I guess, first of all, on the aircraft questions. You talked about important work that you're doing with the company conforming aircraft. Can you maybe just expand on that a little bit? I guess I'm interested in the amount of data that comes from the testing that you're doing on the company conforming aircraft? And how that'd be interpreted by the FAA? Like, is that something that is more internal or is it something where they are going to review, understand the results, kind of do some work on those tests? And then just, the subsequent, for the FAA conforming aircraft will be more just checking that the aircraft performance as expected based on earlier tests?
JoeBen Bevirt: Yes, thanks for the question, David. And hope next time you call us in the future, we'll be about to pick up an S4 from an airport to an airport. To answer your question, I think what's best is to put perspective -- the perspective here is to put this aircraft in testing we're doing in the sense of going back to the five stages of certification. So we talked about Stage 1, 2 and 3, were really nice, where 3 are those conclude with the Area Specific Cert Plan. Stage 4 is really a lot about or all about the testing. The testing really is at all levels or layers of the aircraft from the smallest component to the subsystems and subsystems, all the way up to the airplane. So when you develop all your test plans, each of these test plans will really be targeted towards one of these levels, and then towards specific functions on these levels. This aircraft will effectively serve the test plans that are intended for an airplane, and they will be used as a dry run before we actually have the FAA conforming airplane, where we run hopefully those same test planes for credit with the FAA, getting up into Stage 5, and then the type of certification.
David Zazula: And then as a follow-up, I mean, a number of us that went on a field trips, heard a lot about the Avionyx acquisition and what they're doing with you. But just in the context of having recently raised equity and having obviously acquired equity in Avionyx, I think it might be helpful if you cold try to discuss the dividends that, that acquisition is paying an d any quantification you can provide in terms of you know why it was the right move to go ahead and put that on your balance sheet?
JoeBen Bevirt: Okay. So I'll talk to the Avionyx acquisition here. The Avionyx acquisition is really important and unique in the sense that software verification is very prescriptive, and is a very, very unique skillset in the aviation industry. It takes a good amount to get up to speed on that. And Avionyx brings a lot of history and pedigree serving the avionics and aviation industry, purpose to time it with this stage of the development where we are really go into the verification activities that I just described earlier, right? We talked about the layers, layers start with software, electronics, equipment, and all the way up to the aircraft. We've been exercising that muscle with them prior to the acquisition, saw some amazing results from them. And then we continue to grow that here in a timely manner in order to support us going into FAA conforming test.
Operator: Our last question is a follow up question from the line of Andres Sheppard with Cantor Fitzgerald.
Andres Sheppard : Just two quick housekeeping for us. Matt, in -- sorry, if I missed this, but in regards to the CapEx spend for this year, I think in the past you had mentioned, you'd expect it to be slightly below last year. I just wanted to confirm is that still the case? And then finally, how are things progressing with the piloted test flights? Is that still on track for -- I guess it should be any anytime now soon I guess. So just any color that will be great. 
Matt Field: So for CapEx what we guided was really less than last year. Recall last year, we acquired the building here in Santa Cruz that serves as the R&D and office location and that was 25.5 million. So we do expect our CapEx to be less than '22. We are on track. So what we announced on the last call was that we plan to complete our build and rollout of this first aircraft off the line in the first half of the year. And I think as we said on that call that that's on track, and that we would have a flight with pilot on board by the end of the year, and on track for that as well. So we remain on track with all of our full year goals.
Operator: We have one last question from Matt Roberts with Raymond James.
Matt Roberts : We talked a lot about capital and the aircraft itself, but maybe around some of the work that you've done in terms of operations, as well as developments there. First, maybe what were some of the early learnings in the training exercises that you went through was military pilots and how you envision that for commercial operations? And then, the FAA today came out with these new sky lanes for air taxis. So what impact do you think that has, it’s I'm sure a positive in the early stages. But any incremental color you could provide there would be great?
JoeBen Bevirt: Matt, this is JoeBen. So I look at that in a couple of different areas. First, you touched on with the military pilot training. That was an incredibly successful few weeks. We took four of the Air Force pilots, and we took them through our full training regimen. And they came out of that having been sole pilot-in-command on multiple flights, each of them, and they were growing. They were so excited about the training program. They were excited about our simulator, and how accurately our simulator matched with the actual flight of the aircraft and the simple unified control and how intuitive is to fly the aircraft. So basically, our training team and our government team just really knocked out of the park. Some of those pilots will be flying the aircraft, when they're on base at Edwards. Again, the DoD partnership is doing so much to accelerate our commercial operations. And so huge wins on that front.  Second, you mentioned the FAA. The announcement this morning is a fantastic showcase for how the FAA is leaning in to deliver not just our day one operation as we launch the commercial service, but also a plan for how to scale that to something that's going to have a dramatic impact on huge numbers of people's daily lives.  And then third, I'd really touch on Delta. And what a game changing partnership that is with us, as I noted, in my prepared remarks, we had the opportunity to spend time with the Delta infrastructure team in New York. And delta has invested billions of dollars into the terminals at LaGuardia and JFK, as well as other terminals around the country. And our partnership with them is just going to be absolutely spectacular. We're going to deliver on that elevated customer experience that both Delta and Joby are so committed to.  And just to close, we remain confident in our ability to deliver our commercial operation in 2025.  And thank you again very much for your questions.
Operator: There are no further questions in the queue. I'd like to hand the call back to you, JoeBen Bevirt for closing remarks.
JoeBen Bevirt: Yes, thank you so much. Really, really appreciate everybody joining. One piece that I wanted to touch on, we didn't have a lot of customers on certification. But I just would like to highlight how critically important this is that we're into this really exciting Stage 4, which is testing, it is going -- it’s a mountain of hard work. But I think as many of you've seen when you've come and visited our facility that we've really invested heavily in in-house testing infrastructure, and we are going to be doubling down on that work and that team as we work our way through Stage 4, and prove out the remarkable capabilities that we've built into every component on this aircraft that Didier spoke about.  And just in closing, I'm more optimistic than I've ever been before about the prospects that lie before us. And I'm very grateful to all of our partners, whether that's Toyota, Delta, the DoD and our investors. And we're really, really excited about the future. Thank you all so much for taking the time to join us all today.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time, and have a wonderful day.